Olivier Lechien: Hello everybody. My name is Olivier Lechien. I’m head of Communications at IBA. I sit here together with Olivier Legrain, our CEO; and Soumya Chandramouli, our CFO. At this time all participants are in listen-only mode. A question-and-answer will follow the formal presentation. I would like now to turn the conference over to Olivier Legrain.
Olivier Legrain: Thank you. Thank you, Olivier. Good afternoon and thank you for joining us on our Full Year Results. And with me today, Soumya, our CFO. Before we start, I would like to draw your attention to the company disclaimer on forward-looking statements as usual. Moving on to the agenda. I would like first to start today by thanking the entire IBA team for their continued hard work over the course of the past year. We're pleased to see all that hard work paying off with the incredible resilience of our business. And I'm delighted to report on our positive progress over the year. As always, I will give an overview of our business and run through our outlook for the future. Soumya and I will then summarize our financial statements and we will then be happy to take any questions. I will start with providing an overview of the business. As you know, the Group is founded on our world leading expertise in particle beam technology, which falls across four core business lines, Proton Therapy, RadioPharma Solution, Industrial Solutions and Dosimetry. Each of these business lines performed extremely well and they were all profitable in 2021. As shared previously, IBA's long-term strategy leans on three key pillars. We will capitalize on and develop our market leading position across all of our four businesses. We will give more details on specific business units on the next slide. We will invest in new technologies and products to ensure the Group retains its competitive edge and provide solutions that are tailored to customer needs. Finally, we will ensure excellent operational execution across all business with a focus on delivering the backlog and enhancing recurring revenue streams. In the light of the long-term strategy, you can see here the specific drivers related to each of the business units. And I'll pick out a few details here. Clearly, we have a record backlog, and we're confident on being able to translate these into future revenue. Patient QA is growing in importance and our dosimetry unit is looking to gain market share here. Within Proton Therapy, we have a number of drivers including customer service enhancement, and investing in technologies for the future. Within RadioPharma Solutions alongside the theranostic focus partnership with SCK CEN, we are looking at growing opportunities in existing and new markets such as chemistry and target. On the industrial side, we are targeting a strong increase in E-Beam and X-ray penetration as market adoption of this technology continues. And maybe last but not least, we have been B Corp certified. Moving on, let's take a look at some of our key highlights from the past years as . I will highlight a few of what did happen in 2021. As previously announced, we were delighted to receive the B Corp certification in recognition of our commitment to our stakeholder approach in line with -- this we are focused on impactful ESG goals. For example, we are targeting carbon neutrality by 2030. We have seen a strong performance across all business units with one Five-room Proteus PLUS deal agreed in China and Four Proteus ONE contracts agreed in the U.S and Europe. There was a record order intake for other accelerator with 31 systems sold. Dosimetry has also seen a solid order intake on par with full year 2020. Our strong cost control measures are still in place partially offsetting the remaining impact of the COVID-19, while allowing for strategic investment in research and development. On the corporate side, we are pleased to achieve a number of milestones, including a Strategic Research and Development Partnership announced with SCK CEN for the production of Actinium-225, a novel to hepatic radioisotope which has significant potential in the treatment of cancer, the so-called theranostic. In addition, during the year, we launched the Cyclone IKON, new high energy and high-capacity cyclotron, which offers the largest energy spectrum for PET and SPECT isotopes. We also announced the creation of a global DynamicARC Consortium, preparing for the clinical rollout of the DynamicARC treatment modality with the proton therapy community using the Proteus platform. All of this underpinned by a very strong balance sheet with net cash position of €130 million, doubling from €65 million last year. Finally, the Board has proposed a dividend of €0.19 per share in line with the new dividend policy. It has some of our post-period portfolio highlights. In early 2022, we received the down payment for Rhodotron as well as adding a new contract signed and received the down payment for Proteus ONE. More recently, we announced a partnership agreement with Tractebel to support IBA's customers with their proton therapy design and construction project. We also completed the share buyback program we launched in December with 400,000 shares bought back under the program and around 1 million shares bought back to date. I will now pass to Soumya, to talk through the summary of the financials.
Soumya Chandramouli: Thanks, Olivier. You'll see a snapshot here of the financial highlights as announced this morning. Maybe a few points to pick out here. Group revenue of €313 million was broadly flat versus last year, mostly due to the €63.5 million contribution from CGNNT in 2020. However, if you look at year-on-year revenue growth, it would have been more than 24%, highlighting the strong uptick in activity and backlog conversion coming mostly from the proton therapy business but also well supported by the Other Accelerator business and Dosimetry. The Group REBIT of €14.5 million and net profit of €3.9 million, reflect the strong performance of the business and ongoing cost control measures. There was a very high equipment order intake of €228 million with nine PT rooms sold, that was five systems and 31 Other Accelerator rooms sold across the geographies. It's also worth highlighting the increase in PT and Other Accelerators service revenue which was up 6%. Services now make up 46% of the PT and Other Accelerator revenue line as this recurring revenue stream continues to grow on an annual basis. Now looking at some of the numbers in more detail. The decrease in PT revenue was due to the CGNNT effect, as I mentioned previously, which offset the strong backlog conversion in the year. However, if we exclude CGNNT then the year-on-year revenue growth as I mentioned would have been around 25% with strong backlog conversion as we continue to build and install systems around the world. Other Accelerators performed very strongly with revenue up 26%, thanks to high order intake and backlog conversion in that area too. And the REBIT margin of 4.6% reflects the top line growth and flat cost structure. As Olivier mentioned earlier, the Board has proposed a dividend of €0.19 per share to the AGM that will be held on June 8. Turning to the balance sheet now, our cash position has really never been stronger with our net cash position of €130 million versus €65 million at the end of 2020. We also have €37 million undrawn short-term credit lines still available, and have complied with all our bank covenants. As such, the strength of our balance sheet provides us with significant stability and optionality through which to continue to support and grow the business. Now moving on to Proton Therapy and Accelerators. Overall, sales were flat from 2020, but again, reflecting the CGN deal in 2020. They were actually up 30%, excluding the revenue recognized from that deal, and driven by intensive construction of machines to be delivered over 2022 and mostly in 2023. Other Accelerators revenues were also up 26%, thanks to the record intake and strong backlog conversion as well as an increase of service revenues. To continue, we saw strong impact of the licensing revenues last year with €63.5 million recognized in 2020. We've had five new orders for PT equipment. That's the nine rooms I mentioned earlier. A single five room system in China and one -- Proteus ONE in Italy and three Proteus ONEs in the U.S. Other Accelerator equipment also had a very strong year with revenue up 35%, reflecting that record order intake. And finally, our service business has also seen strong performance with revenues up 6%, stemming from geographical expansion, new applications and also strong industry interest in X-ray technology-based sterilization. Turning back to the order intake, we can see the 2021 figures were very strong for both PT and Other Accelerators in spite of the pandemic challenges. We sold nine PT rooms in the year, up from five in 2020 and back to the 2019 levels. Other accelerators also had an excellent year with 31 systems sold, up from 17 in the prior year and 25 in 2019. Our regional strategic focus remains on Asia with more than half the system sold in that region. However, at the same time, we also sold several machines in the growing markets of South America and Africa. In addition, we see exciting new opportunities with the launch of two new machines for the radiopharmaceutical market, as mentioned by Olivier earlier, as well as a strong growth potential in the industrial business as the industry is ramping up adoption of X-ray technology for medical sterilization. Looking more specifically now at backlog, which we define as contracts for which we have signed contracts, but we have not yet recognized revenue. This has increased to an all-time high of €449 million, up from €382 million in 2020. And this despite the high-level of backlog conversion in 2021. Of this, Proteus ONE represents around 46% and Other Accelerators 24%. On the services front, revenues are also up more than 6% to €109 million -- €119 million with PT service revenues now approaching the €100 million mark. Services backlog is now at €727 million with 39 IBA PT sites now generating revenues worldwide and two new centers in service since 2021. As we previously communicated, services are very important recurring revenue stream for the Group. And we continue to invest in R&D to enhance the performance and efficiency of our service offering. Now taking a look at our dosimetry business. Order intake was slightly down from 2020, but remain strong at €50 million despite pandemic related effects. Backlog increased by 5% to reach €16.3 million and REBIT is now up to €4.9 million, practically doubling from 2020 with strong contribution from investment in Patient QA as well as sales in Asia. I'll now hand back to Olivier to take you through a more in-depth business update.
Olivier Legrain: Okay, Soumya. So, a total of 9 Proton Therapy room was sold globally in 2021, with 5 sold in China and 4 in Europe and U.S. Installations have continued with five ongoing and one started in 2021. Two new service contracts were initiated in 2021. They are both in Asia, one in China, one in India. Underlying the importance of this region. The final quarter of 2021, we saw strong system availability of 97% plus, ensuring continuous patient treatment despite the pandemic. IBA continue to forge new and to extend existing technology collaboration. At ASCO in October, we announced that our partnership with RaySearch was expanded with the area of FLASH, Proton Arc and treatment of moving tumors. A research agreement with the University of Pennsylvania on FLASH was signed in October to advance research into ConformalFLASH therapy, another combination of ultra-high dose rate FLASH and a unique bracket properties of Proton. 2021 also saw the initiation of a global DynamicARC Consortium in collaboration with the leading clinical centers preparing for the rollout of DynamicARC treatment within the Proton Therapy community. Looking more broadly at the Proton Therapy market, we see that IBA remains market leader across the categories or client below rooms sold in 2021, total rooms in operation and total market share. Proton Therapy adoption has also continued to progress. Thanks to us working hard on innovating, coming with new technology, expanding its reach, IBA continue to advocate for greater proton therapy adoption. This includes promoting clinical trials. In August, we share the launch of ProtectTrial, aiming to improve access to proton therapy for patients as well as validating a model-based approach for the use of Proton Therapy in cancer. The research comprise 12 PT center with 400 patients are expected to be included in the trial, with completion anticipated by 2027. In addition, the trial aims to improve patient selection and create it shared reimbursement guideline. In addition, IBA launch Campus in 2021, the world's first proton therapy online platform. As already mentioned, innovation is key to IBA's Proton Therapy approach and comes under key trend, Motion Management, Arc Therapy, Flash Therapy. I've already referenced some of the partnerships listed here, and I underline that industry collaboration is key. We remain convinced on the potential of FLASH as a game changer in radiotherapy. Now looking at radiopharmaceuticals, which again demonstrated our leading know-how in vertical accelerator technology, introducing two new machines on the market, the Cyclone IKON and the Cyclone KEY, both of which should increase our client base and provide them with new development opportunities. We were excited to agree a strategic R&D partnership with SCK CEN during the year to enable the production of Actinium-225, seen as increasingly important given its potential for the treatment of cancer. On the Industrial side, Rhodotron technology underpins the segment. X-ray and E-beam radiation has been recognized for the safety, and we are very excited to see the particular breakthrough in terms of the use of X-ray sterilization globally with IBA selling more and more machine each year as the industry start to adopt this technology more widely. The collaboration with NorthStar agreed in 2021 aims to increase the global availability of technetium-99 in terms of progress  to electron beam accelerator have already been shipped from IBA with the third machine orders. In addition, we opened the index training center in 2021 with the aim of improving technical performance of our industrial business teams in order to better serve our growing client base. Two further partnerships were agreed with TRAD and  enabling the transition to E-Beam and X-ray sterilization. Finally, looking at Dosimetry, we've seen strong order intake here, including a patient dose monitoring device. We have continued to invest in this segment and are gaining market share in quality assurance for both conventional radiation therapy and Proton Therapy, particularly in growth areas such as China. COVID-19 shown a spotlight on the need for Mobile QA imaging systems, which has also contributed to increase the order intake. In terms of innovation, we further enhanced our product portfolio and launched several new products including 9 QA ion in photon therapy, 9 QA SLS for stereotactic surgery and the Phoenix detector for machine QA Proton Therapy. Now over to Soumya to talk about the numbers in more detail.
Soumya Chandramouli: Thanks, Olivier. As mentioned earlier, total Group sales in 2021 was flat versus 2020, but grew 24%, excluding the impact of CGN and this mainly reflects the healthy order intake and strong backlog conversion in all businesses. At the expenses level, while there was a strong decrease in selling, marketing and G&A costs due to the lower level of travel and marketing expenses due to the pandemic, R&D levels were maintained as the Group investment in the future growth of the business. There was an overall decrease in operating expenses of 2.6%, thanks to the above. Finally, we saw an increase in the tax line as we started to pay taxes in several countries where we've started operations over the past few years. As a result of all of the above, IBA reported a net profit of €3.9 million. Turning to the cash flow. Operating cash flow in 2021 was €87.2 million, driven by continuing improvement of working capital despite backlog conversion. The increase in cash flow used in investing activities was in part due to higher CapEx investments, in particular, in Technology and Digital Solutions, where we've been investing quite a bit over the past few years, and the release of a deferred payment following the final completion of the sale of RadioMed, which was compensated by an investment related to the bond financing of our Proton Therapy customer. The cash outflow used in financing activities included repayments on borrowings, repurchase of shares and dividends paid on 2020 results. You have the balance sheet here, and I won't go into the details, but it's worth reiterating that there was a further significant strengthening with gross cash position at year-end of €199 million and an all-time high net cash position of €130 million compared to €65 million at the end of 2020. I will now hand back to Olivier to discuss outlook.
Olivier Legrain: Thank you, Soumya. The strong performance that IBA has seen across all business lines has continued to accelerate into 2022. Our pipeline is highly active, particularly in the U.S. and Asia, which provides us with significant visibility for the year ahead. The growing service business provides further visibility as a stable recurring revenue stream and backlog remains high. Alongside this, our strong balance sheet and record high cash position provide us with significant opportunities for both organic and inorganic growth. In spite of these factors, in light of the current and very unfortunate geopolitical situation and some remaining pandemic-related complexities, we are unable to provide a reliable financial guidance. At the moment, we do not see any major impact on the business as a result of the ongoing conflict. However, given the rising inflation, global supply chain disruptions and increasing cost of doing business, this could change, and we will continue to closely monitor the situation. Finally, I’m pleased to say that the Board will recommend to the Annual General Assembly, the distribution of a dividend of €0.19 per share to be paid in 2022. If approved, the annual bond is paid out to employees will be matched at the same level as part of the company initiative to share the value created with all its stakeholders. This is our financial calendar. So, I would finally highlight a few dates as normal, we will publish our Q1 business update on the 19 of May. Our general meeting will be held on 8 of -- on June 8. Then in August, we will report our half year result as normal. We plan to do a Capital Markets Day at ASTRO in October. And now Soumya and I will be pleased to take your questions. If you want to raise your hand, please press "* 5" and "* 6" to unmute your cellphone, we will call you. I think we have the first question from Michiel Declercq. Please, you can unmute using "* 6".
Q - Michiel Declercq: Yes. Thank you very much, Olivier. Thank you, Soumya. Very nice results. Can you hear me?
Olivier Legrain: Yes.
Michiel Declercq: Okay, great. Great. Great. Maybe my first question, you already mentioned it a bit at the end. But one of the key themes, of course, is the inflationary environment. So, I was just wondering what the impact is for IBA? I recall that for the services contracts, these are indexed. So, I was wondering if you can give me an update on the periodicity of this indexation, but more importantly, for the equipment revenue. So, you have a very large backlog, what the impact is here because a lot of these revenues will only materialize in the future. what impact you see there? I recall that -- yes, you are, of course, exposed to copper prices, which remain elevated, but also steel prices. So, I was wondering, is there -- for the contracts that have already been signed, can you also increase prices there when your products prices go up? And what impact could it potentially have on your gross margins, especially within the equipment revenues? Thank you very much.
Soumya Chandramouli: Okay. I will take that. So, first of all, indeed, you're right on service. We have an indexation, which is practically on all of our contracts annual. And so, because a big -- the biggest portion of our cost in our service contracts is labor. There's a labor indexation, which is linked to inflation, and so we are covered there on inflation. For the equipment contracts, for those that have been signed already, for most of them, we already had the equipment and a big chunk of the equipment. So, we don’t expect very large impacts on those. And going forward on newer contracts, so we made sure that we have closes in our contracts, which cover price increases up to a reasonable level for sure. Now if there's situation where things become very hyperinflationary then, of course, we will have to see how we work on things. But at the same time, when we speak to customers today, many of them understand our situation in terms of increase of cost, and we make sure that contractually, we’ve clauses in the contracts that allow us to be able to speak to them about that inflation and reflected in our contracts. So overall, I'm quite confident that we will be able to cover reasonable increases in inflation. Now we still remain -- need to remain prudent because we don’t know how things are going to go going forward and how much there will be inflation, of course, but that’s anyone's guess.
Michiel Declercq: Okay. Thank you very much for that, Soumya. Just to have this clear, when you say potentially renegotiating these contracts, I assume this is when you do the actual installation, let's say, it's in 3 years from now, then I would assume that you pass on these costs, of course, yes?
Soumya Chandramouli: Yes, absolutely.
Michiel Declercq: All right. One quick follow-up on a bit of -- on the Russian situation. You recently sold a system to St. Petersburg. What is your stance on this in terms of delivery, will you go through with this? Or will this be put on hold? So just seeing for an update on that front.
Olivier Legrain: So indeed, the thing is we got the first on payment, which is significant. So, as you know, from a medical standpoint, we’ve decided to continue to provide our solution in Russia. Not that we are not against the war. It's just that we feel that our equipment is used to mainly treat cancer patients and a lot of children. So, we felt when we were asking ourselves a question that it was more ethical to continue to support the business in Russia. When it comes to the contract in St. Petersburg, we got the first significant on payment. We have started to produce the machine. As you know, it will take 18 months to 24 months to produce the machine. We will see how and monitor the situation. And if it's appropriate by the time we're ready to ship to basically send the machine depending on how the situation will evolve. So that’s number one. Number two, there is no risk for IBA. This contract is covered by an export insurance, including political risk. So that’s how we will basically monitor the situation. And the contract, by the way, is in euro. So, there is no currency risk. We cover for political risk and we have a little bit of time to see how things will unfold in Russia and in Ukraine.
Michiel Declercq: Okay. Very clear, Olivier. Thank you very much for that. That’s it from my end.
Olivier Legrain: Thank you. The next question is coming from David Vagman. David, "* 6"?
David Vagman: Yes. Good afternoon, everyone. Thanks for taking my question. I’ve got …
Soumya Chandramouli: Hi, David.
David Vagman: … three. I will try to be quick. The first one is on M&A. So, you said a few things in the press release and in the presentation about it. So, I would want to ask you what is your strategy? What is the type of targets you have in mind, the size? So, is it about consolidating Dosimetry? I think you said something about it recently? Or is it more about accelerating R&D, so buying other tech companies and is it about software, hardware, that type of things? So that's on M&A. Secondly, on the EBIT margin future development, and I know there is no guidance. But what sort of operating leverage could we hope to see given the very nice order book you have, the very nice order intake and the growth we should expect less in terms of sales? So, when I look at consensus, for instance, I see quite some growth on the top line, but actually margins are expected to decline in the coming years. So, what is your view here? And then my last question is about theranostics. So could you give us an update on the development of your strategic partnership and also your strategic thinking. I think you were not hesitating, but not decided yet whether you wanted to manufacture isotope or rather build the machine? Thank you. That’s it for me.
Olivier Legrain: I will take the first question or I will start with the first question and maybe Soumya wants to join me. I will then leave the margin and operational leverage to Soumya before I come back to theranostics. When it comes to M&A, our focus is really to strengthen the strategy of our four business units. And you rightfully basically expressed all the opportunities that we are currently looking at in order to complete product portfolio with additional product that fits very well in the -- in our global offering or improving our solution by adding additional site services to our solution. It could be hardware, it could be software. I don't see any major acquisition on the horizon at this stage. But more, once again, reimbursement of our current strategy being in Dosimetry as you rightfully said. So, in medical device sterilization, potentially in RadioPharma Solution, I think we are very strong on cyclotron. There is a lot of side, let's say, applications that could nicely contribute to improve our competitive advantage and give more business opportunity to IBA. We're already in the chemistry field in RadioPharma solutions. There is potentially a new horizon with new radioisotope coming in that could be an opportunity for us on the chemistry side. Theranostic is another one, and I will come to that later on. And then last but not least, in Proton Therapy, I think everything that is in the room could potentially be nice add on to -- when we sell a Proton Therapy system, we sell a lot of other equipment. And it could be, once again, I would say, easy addition to our product offering and could bring some additional business to us. I will now let Soumya come back on the operational leverage and then comment on the theranostics.
Soumya Chandramouli: So, in terms of operating leverage, well, we had a discussion with Olivier, and we were wondering whether or not we should give guidance in this year. And before the war started, we would probably have potentially given some level of guidance because we started to feel reasonably confident on strategic and financial plans for the coming years. Now of course, the Board has really changed that because it created so much uncertainty. But let's say that we see a steady and improving -- all other disturbances set aside, we see a steady and improving margin level over the coming years, thanks to several things. First of all, we've been investing quite a bit in technology in order to be able to improve our margins both on equipment and on service and in all of our businesses. We are seeing new avenues of growth in areas where we are able to have a very strong market position, which allow us to have good margins in those businesses. And finally, we have continued all of the cost control measures that we had applied over the past couple of years, and we’ve reached a level where excluding inflation -- inflationary effects, which, of course, we are out of our control. We are able to keep a very nice level of OpEx going for the coming years. So, all in all, I think we are able to continue to deliver good margins and improve them. Of course, the uncertainty right now that we have could have an effect.  asked a question earlier on about inflation. And as I said, we are reasonably confident that we are able to absorb a reasonable level of inflation in our contracts. Now it becomes completely unreasonable that will, of course, have an impact. And there are several ongoing initiatives internally to measure and anticipate those impacts, but it's really very early to say where that will go.
Olivier Legrain: So, coming to the theranostic . We have two process in parallel. One is, together with SCK CEN, we are evaluating the business model of radioisotope production scheme. You know how together we could position this new venture, let's say, in the overall theranostic competitive environment. We are making good progress not only on how we could position it, but how we are going to organize it between ourselves. So, it's progressing quite well. And it's one of the condition, let's say, to decide on one of the model or the other. But there is no, let's say, all the lights are green on that and we are progressing well. We have not taken the decision yet, but we're progressing well. And the second stream, let's say, we are monitoring is -- as you might remember, it's a very promising market. Now we still have a few technical challenges that we need to resolve before we certain about the solution we can propose. And we have a number -- I think we have five work package where we need to basically come with a technical solutions and there as well we are progressing well. We are not at the end of it. We expect to come to a point where we will be able to take a decision, I would say, within the next -- probably by the end of quarter two. And indeed, that we will decide if we join forces with SCK CEN and start radioisotope production facility in theranostics or if we stay somehow in an equipment type of business model. Once again, a lot of gain light so far progressing towards more radioisotope distribution model, but we still have a few things to agree upon and to understand before we give it a final go. So, stay tuned and probably, I would say, before the end of quarter two, we will be in a position to announce our decision.
David Vagman: Thank you very much, Olivier and Soumya.
Olivier Legrain: Thank you. The next question is for , once again, press "* 6" if you want to unmute.
Unidentified Analyst: Yes. Good afternoon. Thank you very much.
Olivier Legrain: You are mute again . I don’t know what …
Unidentified Analyst: Can you hear me now?
Olivier Legrain: Yes, now we hear you.
Unidentified Analyst: Great. Thank you very much for taking my question and congratulations on the results. I have a question regarding backlog conversion. So, we have seen an improvement in 2021. Could you provide a bit your view on backlog conversion in 2022? How many installations in the pipeline for the next year and also what about China?
Soumya Chandramouli: Sorry, could you just repeat the last portion, what was it about China?
Unidentified Analyst: Yes. Just wanted to know about China reopening. I think you're building a team …
Soumya Chandramouli: Okay. Okay.
Olivier Legrain: Okay. Do you start with the overall and I will take China?
Soumya Chandramouli: Yes, sure. So, on backlog, well, I can't give you guidance on things. But we should have reasonable conversion of backlog also continuing into 2022. Of course, we have all the order intake of 2021, which we will also be adding onto the existing backlog conversion. So that will help. Now we have some big installation starting more in 2023 than '22. So, in 2022, we are really in a phase of building up the equipment and preparing it for shipment. And actually, quite a few things are going to be happening at near year-end. So, as you know it's a very, very binary calculation. If the shipment happens before year-end, and there's a recognition in EMEA , and it happens after the year-end, it's afterwards. Right now, it's planned after year-end. So more in early 2023, especially for several Chinese projects where the installation should start at that time. If you look at the order intake over the past couple of years, you will have seen that we’ve sold Proteus PLUS every year in China and so all of those will kind of build up into installation by 2023. So, we will see more conversion happening at that time. But potentially, yes, if things go faster than it could happen in 2022 also. Your other point was -- oh yes, it was on China and Olivier will take that.
Olivier Legrain: Yes. I think China, first of all, maybe a quick update on our partnership with CGN, we're very -- actually pleased with the development and despite the fact that indeed, we cannot really meet face-to-face. I think they have made fantastic progress both on the scale up of their operations and on the sales effort as well. By the way, its public information, they have been selected for first Proteus PLUS sales late last year, I believe. We have not formally announced it because they need to get the down payment and then place the order to IBA, but it's looking quite well actually beyond my expectation. They're very active on the market and it closes gate and indeed was a plan that we set up when we understood that we might not be able to resume travel to China fast. So, we are going and we are currently setting things up where we train CGN and they hire people. So, they will be in a position to basically act as a subcontractor to IBA for the installation of the system that IBA has sold in China. So, we expect to have quite a smooth transition. We have many people over there. We have decided to send a number of expatriates as well that will remain in China for a couple of years and help CGN to basically accelerate their learning and install on behalf of IBA the three systems. So, it actually looks good. And I really thank whoever I need to thank for signing this partnership, I would say, in a perfect timing for us without knowing that COVID was coming, but it puts us once again in a very positive position in China despite the fact that we cannot travel in China anymore or not really easily to China. So, looking good in China, both from an acceleration of the partnership with CGN and their ability to help us to install our machine in the near future.
Unidentified Analyst: Okay, very clear. Thank you very much.
Olivier Legrain: Once again, don’t hesitate to raise your hand if you want to ask a question. There is no hand raised anymore, "* 5". So, David was very fast and David, the floor is yours, "* 6" to unmute.
David Vagman: Yes. Thanks. I have one follow-up on working capital. And I know it's a very tricky one. And you explain that there will be -- this was a bit binary at the end of the year. But let's say, rather than pinpoint or, let's say, for the working capital evolution, let's say, in 2022, 2023, what can you tell us about the working capital evolution overall a bit in a  mode over the coming years. What should we expect? We've seen a lot of down payment then there was COVID, so you couldn't install or install much more slowly. Should we expect a negative evolution there? Thank you.
Soumya Chandramouli: Yes. I think it's reasonable to say that now we have to start building up inventory once again. So, we have quite a bit of inventory already if you look at the balance sheet. But we will start to build up. We are starting to build up inventory again. We need to make quite a few purchases given the level of order intake that happened in 2021, not just for PT, but also for RadioPharma and for Industrial. Of course, the turnaround periods are much smaller for the Other Accelerator business. But still, we will need to build up there. So, we should see use of cash happening over 2022 for that. That being said, we think that we should be able to maintain levels more or less -- our cash levels more or less at where we are today, so that new deals or new down payments coming from our customers will compensate for the expenses that we will make on inventory buildup. So yes, indeed, I would say working capital will deteriorate somewhat over 2022, 2023, but not drastically and will be compensated by reasonable levels of down payments coming in again.
David Vagman: Thank you very much.
Olivier Legrain: Thank you, David.  the floor is yours. "* 6" to unmute.
Unidentified Analyst: Good afternoon. Can you hear me.
Olivier Legrain: Yes.
Soumya Chandramouli: Perfect.
Olivier Legrain: Perfect, .
Unidentified Analyst: Quick -- hello. Good afternoon. A quick follow-up from my end on the PT opportunities and especially in Europe. We saw end of '21 that the Ortega Foundation received quite some money to invest in the Proton Therapy. Can you maybe update us on the tender process there? When can you anticipate some announcement, and how do you position yourself in this one? And second question on the cash allocation. Next to organic and inorganic opportunities when you find suitable targets in the near-term? Could you also foresee some return to shareholders via a new share buyback program or special dividend?
Olivier Legrain: So, indeed, we spent a lot of time in Spain lately. And …
Soumya Chandramouli: It's a good place to be.
Olivier Legrain: It's a good place to be, yes. And you might have seen, because it's also public, I think we organize a lot of training and educating the market. We have many, many contacts. Our understanding is that the MOH will be in a position to issue the tender in quarter three in 2022 with potentially a decision towards the end of the year or early 2023. I think we are reasonably confident that we are well-positioned over there. We understand from MOH, even though it has not been officially announced that they will probably split the allocation as well. We understand a few of the players actually are not really going to play and that potentially IBA, for sure, will go for it. And from what we understand, Varian  will go for it as well. So, it might be two players game with a willingness, I would say, from MOH to potentially split the agreement. That's what we understand. Part of it is not official. We have a lot of contact with all the regions, with all the players there and a lot of positive competitive advantage to put forward. So, yes, I think it's a fantastic opportunity. We will certainly fight for it. And I think we are in a good position to take the lion's share of it. That’s what I can say about it at this stage. So, quarter three decision towards the end of the year, early next year, IBA well-positioned to take the lion's share of it. And the other question was about capital allocation, indeed …
Unidentified Analyst: Yes, correct. Yes.
Soumya Chandramouli: Do you want me to do the share buybacks or not?
Olivier Legrain: So, share buyback for us is basically . I think we -- I can see a lot of opportunities for our business to accelerate. I think over the years, we -- we are, I think, sitting on a nice market with the right product portfolio, medical device sterilization looks like it's finally moving quite hopefully, rapidly towards E-Beam, X-ray. I think Dosimetry is coming back very strongly. We have improved our competitive positioning in Patient QA. There is some opportunity to expand the portfolio for us in RadioPharma Solution, we have theranostic opportunity plus some others as well. And in Proton Therapy, I think with the, let's say, the new dynamic of the market with, I would say, competition being more rational, I think it's better for us to focus on that and sees the opportunity then to basically do share buyback or increase dividend at this stage.
Soumya Chandramouli: And just so it's clear, the share buybacks that we did in 2021 were really to hedge our stock option plans that were launched for employees in 2020 and 2021. So that was the major reason for those buybacks.
Unidentified Analyst: Okay. That’s very clear. Thank you.
Olivier Legrain: Thank you. Once again, if you want to ask a question, don’t hesitate to raise your hand. There is a new question for Michiel. Michiel Declercq, once again, "* 6" and the floor is yours.
Soumya Chandramouli: Michiel, can you …
Michiel Declercq: Yes.
Soumya Chandramouli: You are not unmuted.
Michiel Declercq: Yes. Okay, great. No, just following up a bit on the previous topic. So, in your press release, you highlighted your confidence in the PT market going forward or at least in the short-term and also a bit in the longer term. But you're specifically talking about the U.S. and Asia, now with the -- yes, the contract that is open in Spain, let's assume that you take half of the systems , you don’t even mention Europe in your press release. What could we expect for the U.S. and for Asia? Do you have an update on the tender activity there? I recall that in the first half, you had around 5 tenders in the U.S. open. You closed 2 of them. So just a bit of an update on that front?
Olivier Legrain: Yes. We have closed 3 of them in the U.S.
Michiel Declercq: Yes, yes. but one in the first half. So …
Olivier Legrain: Yes, yes. Okay.
Soumya Chandramouli: Which we completed in the second half of the year.
Michiel Declercq: Yes. Okay.
Olivier Legrain: I think we are able to fill in the pipeline in the U.S. as well. I think I see the same kind of level of activities in the U.S. with some prime institution actually where I believe IBA has a pretty strong position. Indeed, at the end of last year was homerun  as they say, in the U.S. with Proteus ONE. And we see same kind of level of activities in the U.S. And then Asia is mainly driven by China, where I just explained that together with CGN, I think we have, let's say, winning combination of local presence, capacity to be close to the customer understanding of the culture and a great product. So, I also expect to see a number of orders coming from China. And as you know, it's always big system. And India is also, I think, quite dynamic at the moment. I think that’s about it if we look at India, China, U.S.
Soumya Chandramouli: And if you're speaking about Europe, Europe is -- there are quite a few prospects, but let's say that they are more midterm than the Spanish opportunity, whereas in the U.S. and in Asia, I think it's much more short-term prospects that we see.
Olivier Legrain: Italy, maybe as well for 2022. There is a few prospects in Italy, I think will make the move. So, you're right, we should have put Europe as well in our press release.
Michiel Declercq: Okay, clear. But the same for the Other Accelerators, record year in number of system sales. How should we look at this going forward? You already mentioned the strong momentum that you see in the sterilization field, 31 systems. Is this could be used as a base going forward to further increases? Or should we expect a more normalization towards, let's say, 25 system level?
Olivier Legrain: I would say, a normalization plus. I -- from what we see now and once again providing the caveat of this war in Ukraine, we see a very good momentum now. Are we going to -- I think there is more potential in Industrial than what we have seen, so I see a slight increase of industrial application versus last year and maybe a bit less of RadioPharma solution, which was very, very active segment for us. So, yes, probably a normalization plus, let's say, increase in Industrial, or slight decrease in  once again in the context of the war in Ukraine.
Michiel Declercq: Okay. Thank you very much. That’s all for me.
Olivier Legrain: Thank you. There is no more hands raised, so then I suggest maybe we close the call. And I would like to thank you for joining, and we look forward to see you in ASTRO . It's going to be in San Antonio, where we will hold the Capital Market Day in October. But we speak to you earlier, of course, and at the latest during our half year result . Thank you very much. Have a great day, and see you soon. Thank you.
Soumya Chandramouli: Thank you.
Olivier Legrain: Bye-bye.
Soumya Chandramouli: Bye.